Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Stingray Digital Group Inc. Q4 and Year-End 2017 Results. [Foreign Language] [Operator Instructions] Before turning the meeting over to management, I would like to remind everyone that this conference call is being recorded on Thursday, June 8, 2017. I will now turn the conference over to Mathieu Peloquin, Senior Vice President, Marketing and Communications. Please go ahead.
Mathieu Peloquin: Thank you. [Foreign Language] Good morning, everyone. Thank you for joining us on Stingray's conference call for the fourth quarter ending March 31, 2017, and full year fiscal 2017. Today, Eric Boyko, President and Chief Executive Officer and cofounder; and Jean-Pierre Trahan, CFO, will be presenting Stingray's financial and operational highlights. Our press release reporting Stingray's fourth quarter results was issued this morning before the market opened. Our press release MD&A and financial statements for the quarter are available on our investors website at stingray.com and on Sedar. I will now give you the customary caution that today's discussion of the corporation's performance and its future prospect may include forward-looking statements. The corporation's future operations and performance are subject to risks and uncertainties, and actual results may differ materially. The risks and uncertainties include, but are not limited to, the risk factors identified in Stingray's annual information form dated June 8, 2017, which is also available on Sedar. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable law. Accordingly, you're advised not to place undue reliance on such forward-looking statements. Thank you. I will now pass the call on to Eric.
Eric Boyko: Good morning, everyone. I will provide you with key financial and operational highlights for the fourth quarter, as well as some developments we've seen subsequent to the quarter. Jean-Pierre will then provide Stingray's financial results in greater detail. We are very pleased with our fourth quarter results and for the year. Let me share some of the main achievements. First, during fiscal 2017, we continued to singly strengthen our multichannel, multi-music platform on a global basis by expanding our content and reach. This is underlined by the fact that the contribution of international revenue is rapidly reaching the 50% level, with the ultimate goal to reach 75% by 2020. For the year, we have increased by 12.8% to $101.5 million. Acquisition and organic growth for music videos on demand in the U.S. supported a solid international revenue growth of 24.7%, while revenue for Canada increased by 4.9%. Recurring revenues increased by 12.9% and remained stable at 86% of total contribution when compared with last year. Second, for the year, adjusted EBITDA increased 9.3% to $33.9 million, while adjusted EBITDA margin was 33.4% compared to 33.5% (sic) [ 34.5% ] last year. As we realized acquisition synergies, the EBITDA gradually improves [ subsequently ] from the first quarter level of 32.1% to 34.1% in the fourth quarter. Third, the CapEx requirement of our business models are relatively modest, and the company continued to generate significant free cash flow. For the year, adjusted free cash flow increased 8.6% to $26.5 million. Clearly, we are creating shareholder value with industry conservation strategy. In addition, we've returned money to our shareholders through dividends that increased 28.6% in fiscal 2017. Fourth, recently, we made an important move into the consumer-facing product, addressing a younger generation of music fans. We acquired Yokee Music from Israel, an Israel-based provider of 3 social music apps regularly ranked in the music category top 10 in 100 countries. The 3 apps combined are nearing the 90 million downloads mark in 4 years. We expect Yokee to continue to deliver 2 million downloads a month, with 4 million monthly users, with a growth rate and year-over-year growth of over 50%. This is our largest B2C acquisition to date, and we are extremely excited to the potential growth alongside of our B2C karaoke products with Stingray Karaoke and Singing Machine. We also are deploying new advertising solutions for all of our apps. We expect our B2C division to generate $10 million in revenues in the next 12 months. Finally, this morning, we announced the launch of Stingray Classica and Stingray DJAZZ and Stingray Karaoke on Amazon channels available today for an estimated 80 million Amazon Prime members in the U.S. They can now subscribe to each channel for $6.99 after a 7-day free trial to access unlimited streaming -- channel streaming. This follows our launch of our Karaoke streaming service with Comcast where we had great results, and we launched that service in April. In summary, we are very pleased with our fiscal 2017 results and looking forward to a very successful fiscal 2018. And Jean-Pierre will now review our fourth quarter financials in more details, and then we'll answer some questions.
Jean-Pierre Trahan: Thank you, Eric. Good morning, everyone. Before I begin, let me remind you that all amounts are expressed in Canadian dollars unless otherwise indicated. Revenues for the fourth quarter increased 3.3% to $26.5 million compared with $25.7 million a year ago. The increase was primarily due to the acquisition, combined with international growth related to the new product and organic growth for digital signage in Canada. Recurring revenues were up 3.8% to $22.7 million or 85.6% of total revenues from $21.9 million or 83.7% of total revenues last year. Music broadcasting revenues increased 1.5% to $19.7 million, mainly due to the acquisitions of Classica and Much channels and organic growth from online and download music products. Commercial music revenues rose 9% to $6.8 million, mainly as the result of organic growth from digital signage activities in Canada. Revenues generated in Canada increased 2.7% to $14 million in the fourth quarter, and international revenues were up 2.8% to $12.5 million during the same period. Growth in Canada was mainly related to acquisition and organic growth for digital signage and acquisition of Much channels, whereas the increase in international revenues was mostly due to acquisition of Classica and international organic growth. Adjusted EBITDA was up 10.1% to $9 million from $8.2 million a year earlier. The increase was primarily due to the recent acquisition of Classica, iConcerts and DMD from which synergies were realized. Adjusted EBITDA margin was 34.1% compared to 32% a year ago. On a sequential basis, adjusted EBITDA margins slightly increased to 34.1% in the fourth quarter compared to 32.6% in the third quarter. These results are in line with our current scenario for gradual improvement throughout the year on a sequential basis. For the fourth quarter, net income was $4.6 million or $0.09 per diluted share compared to $2.2 million or $0.06 per diluted share a year ago. The increase was mainly due to higher income taxes recovery related to the recognition of previously unrecognized tax losses, lower loss of fair value of investments, partially offset by higher legal fees and amortization of intangibles. Adjusted net income increased 47.6% to $10.5 million or $0.20 per diluted share from $7.1 million or $0.14 per diluted share a year ago. The increase was primarily due to higher income tax recovery and higher adjusted EBITDA related to acquisitions combined with organic growth in commercial music. Cash flow from operating activities increased to $10.8 million in the fourth quarter versus $7.7 million a year earlier, mainly due to higher operating results and lower net change in noncash operating items, mainly related to timing for payment of account payables, partially offset by higher interest paid. Adjusted free cash flow increased to $8 million compared to $6.4 million for the same period a year ago. The increase was primarily related to higher operating results, lower financing costs and lower capital expenditures. Looking at our financial position. So we conclude the fourth quarter with cash and cash equivalent of $5.9 million. Our net debt position was $35.2 million, excluding contingent considerations, resulting in a net debt to last 12 month adjusted EBITDA ratio of 1.04. As of December 31, 2017, Stingray has $100 million revolving credit facility, of which approximately $59 million was unused, providing us with ample financial flexibility to pursue strategic acquisition to achieve our growth objectives. I'll now turn the call back to Eric.
Eric Boyko: Okay. Thank you very much. Thank you very much, Jean-Pierre. This concludes the conference call for today. Thank you for your time and attention. At this point, Jean-Pierre and I will be pleased to answer any questions you may have. And I will let the operator start the roll call.
Operator: [Operator Instructions] Your first question is from Adam Shine with National Bank Financial.
Adam Shine: Eric, maybe just one for you. In terms of the margin dynamics, certainly, as alluded to, the margins progressed steadily during the course of the year. Not quite 35%, but pretty close. Can you speak to whether there are additional synergies to be extracted heading into the early Q1 '18, and how we should think about margins during the next fiscal year?
Eric Boyko: Yes, that's a good question. And we just -- one of the things that will change in 2018 is the U.K. acquisitions on the B2C side. That division is generating about 20% margins right now until we get more synergies. So for sure, with that implication, I expect the margins to be, in the first couple of quarters, 32% to 34%, and that's an increase again. With the B2C business, which as I mentioned, is we're going to be at $10 million a year in that business model. The margins are lower than the B2B business.
Adam Shine: Okay. And then maybe one more for you. In terms of some of the progress in terms of U.S. opportunities, obviously, you're highlighting the Amazon tick-up as a follow-up to the Comcast one.
Eric Boyko: Yes, the U.S. market, that's no -- it's moving very quickly, so the new powerful service that everybody is going to be launching. So Comcast launched their SVOD services, and we launched with them 60 days ago on April 1. And the first 60 days with our product, with one product, we were able to reach 40,000 subscribers at $7. So almost CAD 400,000 of revenues for one service. And so Comcast is launching SVOD model; Verizon is looking at the same scenario; AT&T; our friends at Amazon are very strong worldwide. So for us, it's a great revenue growth, and we didn't realize, with time, the potential and also -- so we have 4 channels that we have at Stingray: we have Karaoke where we own 25,000 songs; we have Classica, or the classic channel, where we have over 4,000 concerts; we have DJAZZ with over 1,000 concerts; and we have iConcerts with also over 2,000 concerts. So these 4 services are SVOD services that in the niche market that are competing indirectly like the Netflix. So it's like if you're having a Karaoke Netflix, a Classica Netflix, and people's appetite to pay USD 7 for that type of product seems to be very high. So we're very excited.
Operator: Your next question is from Deepak Kaushal with GMP Securities.
Deepak Kaushal: Just a follow-up on the video side. In terms of progress in Canada, with classical jazz and concerts, it seems to be a little bit slower than expected. You've just got your Much music channels up. What can we expect in terms of cross-selling of your video products into Canada?
Eric Boyko: Yes. So no, so we're -- things are going along well. We're going to be launching by later this summer. We're going to be launching the Classica and Festival 4K channel in Canada. We'll be launching more music video channels. There's a lot of demand for French music videos. Again, for the category B reasons, there's demand for category Bs in the French. But again, these are interesting, but this will add -- we can add anywhere from 50,000 to 100,000 of [ ROR ] a month. So for sure, it's an interesting product to start with, it leverages our products, but I can say, our #1 growth, and we see it with Comcast. Comcast now is generating growth per month $400,000. So the U.S. market is, you really see it's so much bigger than Canada and the rest of the world, that no, we're very excited with the Amazon deal, and we're very excited to expand. Now we're only launching Amazon in the U.S. right now, but soon, Amazon is in 53 countries. So over the next few months, we'll be launching in Germany, Austria. We'll be launching in Britain. And then they're looking to launch in India and Japan. So for us, it's a great potential with one service.
Deepak Kaushal: Okay, great. And then, just on the U.S. market then, you progressed on the SVOD side. What about the core audio side, are you seeing any progress there?
Eric Boyko: Absolutely. We're still discussing with all of the different parties. We have good discussions. Now the U.S. market now is -- the cable market/TV, so it's down to 8 companies. So we're in good discussions with them, working with most of them. Interestingly, every big slash -- cable/TV operator is looking to launch an SVOD service. They're all competing in that space and we're happy to be their partners on all their platforms. So for us, it's another way to work with them, while also trying to gain the pay audio or the linear music audio side.
Deepak Kaushal: Okay. And it seems to be a market that requires a bit of marketing to get uptake on those $7-a-month subscriptions. In general, your SG&A or your sales and marketing costs have been outpacing revenue growth for the last 4 years. Do you expect that to continue? And what are your marketing plans to boost the Stingray brand in the U.S. market?
Eric Boyko: So yes, interestingly, with the Comcast service, we invested very, very low marketing on the X1 platform to achieve 40,000 subscribers with one product. So I think we invested $20,000 with the X1 and Comcast, so it's very immaterial. So it's going to be interesting how the -- at the end of the day, this SVOD service, the billing agent is going to be Comcast, it's Amazon, it's going to be Verizon, it's going to be AT&T, it's going to be Telefonica. So they're self-promoting the service in their own platform. So it's not like a real B2C product. We're B2B2C. So I think that's a great advantage, a great position for Stingray and strengthening. Now with Comcast, we were a cost for them, and now with this SVOD service, we now became a cash flow net provider for Comcast because they're earning more money on the rev share of the SVOD service than the cost for their music videos. So it's a good position for us to be.
Deepak Kaushal: Okay. So to be clear, it doesn't sound like you see a need to increase your B2C marketing and you're still relying on B2B marketing, or am I misunderstanding?
Eric Boyko: Exactly. No it's -- we're really working B2B2C, so we're working with Comcast, with Amazon. We're not doing any B2C marketing on those SVOD services, or nothing material, $20,000, $50,000, but nothing major.
Deepak Kaushal: Okay. And just a final question for JP, if I may. Gross margin looked like it ticked down. I would have -- I think in the past you said gross margin on video products would be higher than the audio product. How should we think about gross margins?
Jean-Pierre Trahan: Compared to last year, it's 2%. So we did the math this morning. Last year, we did the -- a pretty big adjustment of $0.5 million for Air Canada, so you need to take that in consideration to adjust the rate, but that's plus 2%.
Eric Boyko: Yes, so last year, a very important part, because we have a deal with Air Canada where we promote our services on the airplanes that everybody uses, and that's a lot of -- most of it is a barter service. And last year, in the fourth quarter, we had to put a $500,000 revenue and a $500,000 expense. So because it -- the value is a barter service...
Jean-Pierre Trahan: [indiscernible] rules, yes.
Eric Boyko: So because of that, it's about a 2% hit on our organic growth that it's more an accounting number than a real financial number, real cash.
Operator: Your next question is from Tim Casey with BMO.
Tim Casey: I've got a few questions. So just to confirm, on this SVOD initiative in the U.S., that $7 price point, that's a gross, right? What ...
Eric Boyko: Yes.
Tim Casey: How should we think about the net to you? Is it a 50-50 split on rev share?
Eric Boyko: Yes. So I can't even answer, there's a lot of business -- but if I was an analyst, I would go with 50-50. Usually the operator keeps a good portion. For example, we'd like to be -- in the future, we'd like to be like iTunes, where iTunes takes 30% and we take 70%, so that will be negotiation.
Tim Casey: Right. Okay. And how are discussions proceeding with wireless operators? That's a vertical you've talked about having some potential. Can you give us any color on what's going on there?
Eric Boyko: And also we're having good discussions with [indiscernible] , we're having good discussions with [ Telefonica ] . We're still discussing with AT&T, a part of their strategy of TV and mobile. We're discussing with few operators in Latin America. So again, the big issue with the mobile side, it's so big, it's not the cost, it's the marketing, how are they going to market this product. So I know we had great results with British line in Canada so far, so we're happy with that, so we have to be able to market more product and our brand in those countries. So the only difference is it's a longer cycle than we expected on the mobile side. But the numbers are huge. AT&T is 140 million mobile subs, so -- and then Telefonica is 250 million mobile subs in Latin America. So all of these discussions take a long time.
Tim Casey: Do you think you can close the deal in this fiscal year?
Eric Boyko: Fiscal -- we're very confident. We're very confident. These deals that we're closing on the mobile side, which gave us a lot of branding and recognition, are not a big EBITDA margin improvement because now we're being very aggressive on it, so but I -- we're very confident. Very good discussions with many different players, and I think a lot of nice opportunities. I know every TV operator that has mobile subs are looking at how they can cross-product their music on the TV and the music on mobile. So we're in a great position, and everybody's looking at it. So -- and we know our cost structure is very favorable compared to the Spotify, Google and our friends at Apple. So I think we're in a very good position.
Tim Casey: Can we talk a little bit about the deals you've announced, particularly on the app -- the Karaoke app business, Yokee? Initially, it was a $6 million deal, plus an earn-out. Now, I mean it's a $10 million earn-out on this one, that's almost 2/3 of the purchase price, which is quite high to other deals. Can you talk a little bit about the dynamics on that business and what you think their contributions are going to be?
Eric Boyko: Yes. So roughly, this is -- it's our -- we started the company by buying a catalog of karaoke in 2007. So we have 25,000 karaoke songs that we have the masters, that we are the label. That catalog is worth around $25 million. So Yokee was using our catalog for their services. So when we bought them, we have synergies on [ Thursday ] because they're using all of our content. Yokee's earn-out is about [ $6 million plus $6 million], and their earn-out is aggressively positioned. They need to achieve 20% year-over-year growth for the next 3 years. So by achieving those numbers, if we achieve 20% or more, even if we paid our earn-out, the acquisition, we're buying them about 5x EBITDA. And if they achieve their earn-out, we're going down to 4x. So -- and right now, these -- the engineers in Israel are very, very smart and well positioned. I'd say they compete the engineers in California whether -- but they get paid the same price as we do in MontrÃ©al. And right now, we're trending at 50% over last year for April and May. So we'll see, or it can be maintained. But right now, it seems that these engineers in Israel will be achieving their earn-out, which we'll be very happy. But it's a 3-year commitment.
Tim Casey: Okay. And just last one for me. Just in general, on payouts and contingent considerations, looking at the disclosure, it seems like the current portion of these is about $9.5 million and then there's another balance payable of around $6 million. Can you talk about cash flow obligations, like payment obligations to previous deals that are going to flow through in '18 and '19?
Eric Boyko: Yes. We roughly go at 50% payment on the earn-outs, that's roughly what we paid. The only difference this year is that our -- when we reviewed Foxtel with the acquisition of DMD, because we've got a 5-year deal with Foxtel, 5.5-year deal worth over $20 million, the owners of DMD got 100% of their earn-out, but we were very happy to have a 5.5-year deal there. So in that case, they got 100%, but that's -- when the earn-out is 100%, it means that we achieved their goals, so we're happy.
Tim Casey: But back to my question, should we -- are we looking at payouts of around $15 million in 2018?
Eric Boyko: I'll have to get back to you for 2018 because, it's -- we've got to look at timing, some of it was in January, some of them was in April.
Jean-Pierre Trahan: They'll be done next year.
Eric Boyko: Yes. So we'll have to get back on the timing of when the payouts are due. But usually, rule of thumb is whatever is there is 50%.
Jean-Pierre Trahan: I'll let you know, too.
Operator: Your next question is from Maher Yaghi with Desjardins Capital Markets.
Maher Yaghi: I wanted to come back to this wireless business, that you talked about there, again. Unfortunately, in Canada, the policymakers have moved to more restrictive net neutrality laws. How much of that decision policy change could affect your business? You mentioned Videotron, and they're having to review the plans that they put in the market. When you have companies like Rogers offering 6 months free Spotify, what is the attractive aspects of Stingray that you can add to an operator versus a Spotify when the operator can't give unlimited data on music? On the other side, on the U.S., fortunately, they're moving in the other direction. So can you maybe talk about your focus? Are you less focused on Canada, more focused on the U.S.? How are you looking at the markets right now?
Eric Boyko: Yes. So -- no, we're focused on both markets because we're Canadian based, so we like Canada. But regarding Videotron, with this rule in the CRTC, for us, it doesn't affect us because whatever decision they go at Videotron will keep on promoting Stingray music. And I think, though, depending on how they position this, you could always add more gigs to a package, anything else. So I don't see much impact on that side. For the U.S., even without question, the big debate on net neutrality is not going to -- long-term certain service providers as like a Netflix will need to pay more for using access, just like if I travel business in a plane, I'd pay more to be in business class and you pay less to be in economy, so that's another debate. But to go into this, no, we feel we're well positioned. And again, our position is we're about 100 of the costs of Spotify and Google for these operators. So we give them a great bundle discount as a free to user application. So again, a big difference is we're free to user. And the Spotify deal with Rogers is an interesting deal, but I'm not sure of the success of it and how well it's generating users for them. Worldwide, when Spotify was included with different operators from KPN Netherlands and even in Asia, they didn't seem to have worked well because $6 is a big cost to apply to every user. So I don't know if I answered your question or if I was too vague.
Maher Yaghi: No, no, that's -- so when you look at the U.S. market, apart from the cable operators, TV operators, are -- do you believe we could see a wireless-only contract or signing that can happen in the short to medium term? Or this is a more longer-term strategic positioning that you need to handle first before we can see?
Eric Boyko: Quickly. So we are in discussions with every operator in the U.S., most operators in Latin America. The advantage that Stingray has is we're not just a mobile audio service. Stingray is a really -- we own all the content. So imagine, we own Concerts, we own Classica, we own DJAZZ, we own Festival 4k, we own the Karaoke business, and we own the pay audio. So when we approach a Verizon, an AT&T, a Comcast, an Amazon, a Telefonica or a Planta [ Clough ] in Mexico, we provide them with a -- we're the one-stop shop for all music products, so video, audio and on-demand, so we're -- now that's a big advantage. And we didn't realize when we bought Classica and when we bought DJAZZ and Concerts -- iConcerts that we will be able to leverage these products on different platforms. So for us, it's a -- the fact that all these over-the-top players are being created, like Sling and DirecTV Now, and everybody's launching in that direction, it was great news for Stingray because we're not only a cable operator service, we're also good for all -- all of our products are good for over-the-top. So the -- so to answer your question quickly, so I think because of we're strong on the video side, it gives us an edge on the audio side. To keep it short.
Maher Yaghi: Okay. You mentioned the $500,000 Air Canada barter thing. So the 5%, let's say, year-on-year growth in revenue, how much of that is acquisition? It's hard for us to look at it from perspective. And maybe currency, what kind of currency impact have we seen in the quarter on your revenue line?
Eric Boyko: Yes. For us, we always do -- when we say organic growth, it's always organic growth excluding currency. So as you can see, I can just tell you in advance, the Q1 numbers are going to be much stronger because the currency, thanks to Donald Trump, went way up for -- or down for the Canadian dollar. So in Q4, we had organic growth of 2%, but we had a currency headwind up 2%. So for sure, we always exclude the currency. In Q1 this year, I don't want -- depending on how we end in June, it's going to be plus 4% currency, so we always take out the currency of our numbers. And we're very comfortable in Q1 this year that we're achieving -- we'll be back to a target of 5% organic growth in April, May and June, thanks to the SVOD launches and different products, so we're trending well. And then -- so we're happy. And even our run rate right now, our run rate per month is approaching the $10 million mark, so we're going to have a good sales growth in terms of -- in 2018, so we're very excited by that, again, if the dollar stays the same. And one thing we realize that we didn't -- we do a lot of our sales in the U.S. dollar, but we do a lot of our sales in euros, in Swiss francs and Australian dollar. All 4 currencies have gone up for us in terms of our revenue, so it's very positive. But we're -- there's a big -- we're getting more international, and there's more fluctuation in the FX more and more.
Jean-Pierre Trahan: [ 60% ]
Eric Boyko: So that's -- so right now, everything's positive. But maybe in July, it's going to be negative, you know what I mean?
Maher Yaghi: Yes, yes. No. And my final question is, you've beefed up your M&A team recently. What are your expectation for M&A, amounts of EBITDA that you can add over for 2018 versus 2017?
Eric Boyko: So for us, we're very happy with the acquisitions or the -- Valery Zamuner joining our team. She was at WSP. And during her tenure there, she brought their company from $1 billion of valuation to $5 billion. She did a lot of deals. For us, it was a bit premature to hire an SVP for M&A, but the position was available, the candidate was available. For us, it was very opportunistic, so we're very happy. Our goal is always $5 million-$25 million, so $5 million EBITDA for $25 million acquisition. And our goal -- the #1 key metric for the management team and for Valery Zamuner is to beat that number. We've already done about $2 million of acquisitions in Q1 EBITDA, we've already with Yokee and C Music, so roughly with synergies, $2 million of EBITDA. And we have a very, very strong pipeline for us to beat and achieve that goal in the first part of the year. So we're well positioned, and we have some good deals right now. We have some good deals in Australia, a couple of more deals in the U.K. We want to reinforce our U.K. position and a couple of also nice deals in Latin America. So very...
Maher Yaghi: Sorry, one last question, a housekeeping item on the lawsuit with Music Choice. I saw that the date for the trial is now set in 2018. Anything additional to the comments you put in the MD&A that can help us understand where this is going?
Eric Boyko: So the Music Choice lawsuit is moving forward, like you mentioned. Again, apart from our general counsel spending some time on it, we are spending very little time. The only cited -- it is -- these fees are in U.S. dollars, so it is very expensive. So on that side note, including myself, it's cash flow that we're spending for a case that is irrelevant. But it's costing us money, so it is -- hopefully, the legal bills will start falling down after the Q1. But for sure, in a way, the legal battle in the U.S. it's very expensive in terms of cash, and so we're again very confident, it's -- we won't go in the details, but I think that we're very well positioned for this.
Operator: [Operator Instructions] Your next question is from Bentley Cross with TD Securities.
Bentley Cross: I first wanted to ask just a little bit more about the organic. Just to clarify, you're saying 2% and that's x currency?
Eric Boyko: Yes. So 2%, our FX -- so we're plus 2% organic growth. So for sure, Q4 was smaller. But in Q1 this year, we're going to be back-half files, so that's working well on our side. The FX was negative 2% in Q4. And the FX, depending on how we finish, is going to be positive 4% in this quarter. Now the euro shot up and the Swiss franc shot up, so that's giving us a big hedge for this quarter -- I mean for Q1 now and some -- for April, May, June, because we're almost at the end -- almost middle of June. So when we give you organic growth, we take out FX because it's not organic growth, so Q1 will be like plus 7%. So while we're doing great, we're not doing that great because there's 2% to 3% FX. Do you follow my...
Bentley Cross: Yes. But just to elaborate on that. I mean, you've thrown around some other numbers. I think you might have said [ 80 ] or 5% earlier in the year. What have been the puts and takes that have made it not possible to hit that target and get back there?
Eric Boyko: Yes. I think we've -- again, we try to achieve 5% organic growth, we're launching a lot of new products. This quarter was at 2%. In Q1, we're going to be at -- we'll be back at 5%. The biggest -- I think that's one of our models, so acquisition and maintaining growth. I know for The Street, the biggest question I get from investors is, Stingray, are you minus or plus 5%? That's the biggest question I always get when I meet investors. And I tell them, look, we're aiming to be at 5%. This quarter was lower. We've got to take account that 15% of our business is equipment and labor. Equipment and labor is -- you do -- we did the Saputo Stade last month, so April will be great because we did the Saputo Stadium in MontrÃ©al, but there won't be another Saputo next year. It's like the Air Canada. The Air Canada was -- the barter deal was $0.5 million, so that was good for March of 2016. But this year, there was no $500,000 in Air Canada. And just that by itself is 2%. So I think we need to focus on the organic growth on the recurring side, which is more stable.
Bentley Cross: Okay. Maybe switching gears just a little bit. When you IPO-ed, early on in the process, you were emphasizing B2C -- or B2B rather than B2C. But with this Yokee acquisition, obviously, you're switching gears a little bit. I'm wondering why the change in mantra or [indiscernible] ?
Eric Boyko: Very important. So the -- we have a huge asset of 25 million songs -- 25,000 songs that's worth $25 million. We licensed that karaoke, and we're the largest owner of karaoke songs in the Western world. I'm excluding China and Japan because -- so we have this huge catalog that we have to license, and we do licensing deals. In the case of Yokee, this acquisition came very easy because we were only supplying them 20% of the songs, and now we're supplying them 100% of the songs. And Karaoke is a big advantage for us because even Google and Apple can't launch services because they we would need to create 25,000 songs. And if we look at, with Comcast, we grew from 0 subs in the April to 40,000 subs in less than 60 days. Our budget -- we predicted that we -- in our budget, we predicted that we're going to have 5,000 subs, so we're like 8x over budget in the period of 60 days. So -- and the Karaoke growth from last year in our B2C model, because we know we did USD 1.5 million last year, so CAD 2 million, but in that B2C model in Karaoke, we're saving about 30% to 40% organic growth. So now that the B2C division is at $10 million, if we can maintain that 30% to 40% organic growth, just that by itself will give the whole company $3 million, $4 million a year, which is about 3% to 4% on the whole business. But again, we're -- the only reason is because we're leveraging Karaoke. We're not going to start doing B2C on the music side. We're just leveraging a catalog that we bought 10 years ago and we're the #1 in the world by far, and we'll keep on doing all the new songs. So we are the Karaoke kings of the world. But I don't practice Karaoke, just to be honest, so I'm not a very good singer. So just don't ask me to sing for you.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
Eric Boyko: Okay. Thank you very much for the call today. Thank you, again, for the analysts, for your question and your mentorship, and we're happy to be on the conference call. Our next conference call -- the next quarter will be faster, it's coming up in August. Because it was the year-end, so we're going to see you guys -- speak to you guys in the next 2 months. So [Foreign Language] , thank you very much,, and have a great day.
Jean-Pierre Trahan: Thank you.
Operator: And this concludes today's conference call. You may now disconnect.